Operator: Good day, ladies and gentlemen, and welcome to the Q4 2018, Sturm, Ruger Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference Mr. Chris Killoy, President and Chief Executive Officer. Sir, you may begin.
Christopher Killoy: Thank you. Good morning, and welcome to the Sturm, Ruger & Company year-end 2018 conference call. I would like to ask Kevin Reid, our General Counsel, to read the caution on forward-looking statements; then Tom Dineen, our Chief Financial Officer, will give an overview of the fourth quarter and 2018 financial results. And then I will discuss our operations and state of the market. After that we'll get to your questions. Kevin?
Kevin Reid: Thanks, Chris. We want to remind everyone that statements made in the course of this meeting that state the Company's or management's intentions, hopes, beliefs, expectations, or predictions of the future are forward-looking statements. It is important to note that the Company's actual results could differ materially from those projected in such forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained from time-to-time in the Company's SEC filings, including, but not limited to, the Company's reports on Form 10-K for the year ended December 31, 2017, and of course on the Forms 10-Q for the first and second and third quarters of 2018. Copies of these documents may be obtained by contacting the Company or the SEC, or on the Company website at ruger.com/corporate, or of course the SEC website at www.sec.gov. We do reference non-GAAP EBITDA. Please note that the reconciliation of GAAP net income to non-GAAP EBITDA can be found in our Form 10-K for the year ended December 31, 2018 and our Forms 10-Q for the first three quarter 2018, which are also posted to our website. Furthermore, the Company disclaims all responsibility to update forward-looking statements. Chris?
Christopher Killoy: Thanks, Kevin. Tom will now discuss the Company's 2018 results.
Thomas Dineen: Thanks, Chris. For 2018, net sales were $495.6 million and diluted earnings were $2.88 per share. For 2017, net sales were $522.3 and diluted earnings were $2.91 per share. Our 2018 EBITDA was $100.8 million or 20% of sales and our 2017 EBITDA was $112 million or 21% of sales. 2018 earnings per share benefited by the Tax Cuts and Jobs Act of 2017, which reduced our effective tax rate and increased earnings per share by $0.27 and the repurchase of 1.3 million shares of common stock in 2017, which increased earnings per share by $0.20. The comparison of earnings per share between 2018 and 2017 was adversely impacted by $0.27 due to the change and the rate to use to absorb overhead and direct labor expenses into inventory in each year. In 2018, improve manufacturing efficiencies and favorable leveraging, decreased the carrying cost of inventory by $2 million and resulted in a corresponding increase to cost their products sold, which reduced 2018 earnings by $0.08. In 2017, decreased manufacturing efficiencies, increased the carrying cost of inventory by $4.8 million and resulted in a corresponding decreased the cost of products sold, which increased 2017 earnings by $0.19. It is counterintuitive, but improvements and efficiencies and favorable leveraging can have an adverse impact on our short-term performance. So at times when our performance improve, the immediate P&L impact of the resulting decrease in the overall carrying cost of inventory can outweigh the benefit realized during the period. For the fourth quarter of 2018, net sales were $121.1 million and diluted earnings were a $0.69 per share. For the corresponding period in 2017, net sales were $118.2 million and diluted earnings were $0.59 per share. For the fourth quarter of 2018, our EBITDA was $25 million or 21% of sales compared to the fourth quarter 2017 EBITDA of $22.6 million or 19% of sales. The balance sheet, at December 31, 2018, our cash and short-term investments, which are invested in UST bills, totaled $152.8 million. Our current ratio is 3.3 to 1 and we have no debt. At December 31, 2018 stockholders' equity was $264.2 million, which equates to a book value of $15.14 per share of which $8.75 per share was cash and short-term investments. Cash flows, in 2018, we generated $120 million of cash from operations. We reinvested $11 million of that back into the company in the form of capital expenditures. This was a relatively light year for capital expenditures, due to the timing of new product launches and the repurposing and relocation of machinery and equipment already on site. We estimate that capital expenditures in 2019 will be approximately $25 million. Our primary focus for investment will be new product development. Cash return to shareholders, in 2018, the Company returned $19 million toward shareholders through the payment of dividends. Our Board of Directors declared a $0.28 per share quarterly dividend for shareholders of record as of March 15, 2019, payable March 29, 2019. As a reminder, our quarterly dividend is approximately 40% of net income and therefore various quarter to quarter. That's the financial update. Chris?
Christopher Killoy: Thanks, Tom. In terms of demand, 2018 was a challenging year for the firearms industry. The National Instant Criminal Background Check System or NICS background checks as adjusted by the National Shooting Sports Foundation decreased 6%, which indicates and modest overall decline in the firearms market. Despite this apparent reduction in overall industry demand, the estimate sell-through of the Company's products from independent distributors to retailers in 2018 was essentially unchanged from 2017. We believe this is primarily due to strong demand for some of the Company's products, particularly those that were introduced in December of 2017. In the area of new product development, we believe that new products remain a key driver of demand and likely the reason for outperformance of NICS in 2018. Some of the new products launched in 2018 included the Ruger Precision Rifle in the magnum calibers, the Precision Rimfire in magnum calibers of 17 HMR and 22 magnum. Hawkeye long range targets and 6.5 PRC, a custom shop 10/22 rifle and 1911 pistol, several commemorative models to include a 10/22 collectors series rifle and the LCP 10 anniversary pistol. In the AR-556 platform, we had the MPR, the multipurpose rifle in 450 Bushmaster and an optics-ready rifle. We also had an LCRx 357 revolver, the GP 100 match champion revolver chambered in 10 millimeter caliber, the 1911 pistol in a stainless officer's model and a target nine millimeter model, and a stainless scout rifle and 450 Bushmaster. New products represented $145.6 million or 30% of firearms sales in 2018 compared to $137.8 million or 27% of firearms sales in 2017. Several new introduced in 2017 contributed to this achievement, including the Pistol Caliber Carbine, the LCP II pistol, the EC9s pistol, Security-9 pistol and the Precision Rimfire Rifle. In 2018, we shipped well over 800 unique models in 40 major product families. Keep in mind we had about 400 catalog models. Half of the models that we shipped last year were non-catalog models. These were derivatives of existing models featuring a different Caliber, Barrel Length or Finish. Some of these are distributors' closes and had been offered for many years due to the continuing strong demand, while all others were new in 2018. Regardless, these derivatives are not included in our new product sales total because we include only major new products that were introduced in the past two years. It's a pretty tough standard, but it helps us focus on a significant breakthrough new products. In terms of production and inventory, we review the estimate as sell-through from the independent distributors to retailers as well as inventory levels at the independent distributors and in our warehouses, semi-monthly to plan production levels and manage inventory levels. Total unit production in 2018 was essentially unchanged from 2017, although it did vary by product family. Our finished goods inventory decreased by 23,000 units and distributor inventories of our products decreased by 22,000 units during 2018. In aggregate, total company and distributor unit inventory decreased by 10% in 2018. In terms of cash, our cash generation in 2018 was very strong. Our cash and short-term investment balance of $153 million is more than we need to support our normal daily operations. Nevertheless, our capital allocation philosophy has not changed. Our primary responsibility is the stewardship of our shareholders assets and the creation of shareholder value. We are continually looking for opportunities to generate strong returns with our capital. If we get to a point where we decide that we will not be able to employ our capital, we will return the cash to our shareholders in the form of dividends. Those were the highlights of 2018. Operator, may we have the first question?
Operator: Thank you. [Operator Instructions] Our first question comes from Rommel Dionisio with Aegis. Your line is now open.
Rommel Dionisio: Yes. Thanks very much. Good morning. Chris, I wonder if you could just give us your perspective in terms of the prolonged downturn. Usually, downturns in market historically have been 12, 18 months, something like that. And we're going on two years now. I wonder if you could just give us your perspective on what it might take to sort of for the market to just sort of snap out of this downturn?
Christopher Killoy: Well, Rommel, it's difficult to predict and of course we don't give forward-looking guidance. But I will tell you that it's a very competitive and challenging market out there. Right now, we're seeing a lot of promotional activity from competitors. We're starting to see some of the deals being offered. We thought there might be an uptick in demand following the mid-term elections that largely did not occur. We see a lot of things going on a political front that may drive demand in the near future. However, we have to remember that it's still a pretty strong market overall when we compare it to where we were just a few years ago. We're seeing a lot of demand for niche calibers, niche cartridges. Certain categories are experiencing good growth, like Precision Rifle category or Pistol Caliber Carbine. So I think, when people look at the overall market, I think the key is making sure you're flexible enough to be in the right categories and be continuing the stream of new product introduction to try to drive demand as best we can for Ruger products.
Rommel Dionisio: Okay, fair enough. And maybe just a quick follow-up. Could you just relay any feedback from coming out of SHOT Show from a new product perspective or a competitive perspective? Anything you'd like to point out that it was noteworthy coming out of the show? Thanks.
Christopher Killoy: Sure. We had a very good SHOT Show. SHOT Show was a shooting, hunting and outdoor trade show, usually held in January of every year by The National Shooting Sports Foundation. And it's a show primarily oriented towards retailers and manufacturers and distributors display there. And we're very pleased with the show. We had a variety of new products, most of which were launched just prior to the show. We typically don't hold off on new product to launch at the show. We introduced them before to make sure our retailers have a chance to write orders, particularly in the December season. So things like the - we continue to see strong demand on the products that were introduced throughout 2018, like Precision Rimfire, rifle made in our North Carolina factory in 17 HMR and 22 Magnum. We also saw a very solid demand for the precision rifle in 338 Lapua and 300 Winchester Magnum calibers. So we're seeing that demand for some of those niche products. We're very pleased with the products that we had on display. In terms of competitive new products, didn't see anything necessarily that we found to be too exciting or revolutionary. I think most manufacturers are working hard to come up with those new products, but not always on display at SHOT Show. And I think everyone knows, if it's ready for the SHOT Show, we'll introduce it. If not, we'll hold off. And that's why we like to have new product introductions throughout the year. So stay tuned as we say for some - some exciting things are still in the works from Ruger.
Rommel Dionisio: Great. Look forward to it. Thank you, Chris.
Operator: Thank you. [Operator Instructions] Our next question comes from Brian Rafn with Morgan Dempsey. Your line is now open.
Brian Rafn: Good morning, Chris, everybody.
Christopher Killoy: Hey Brian, how are you?
Brian Rafn: Good. Hey, could you start off with kind of give a little recap on that kind of the cadence of business in the fourth quarter, any color on the hunting season and then did your Black Friday promotions in a holiday kind of match your internal planning?
Christopher Killoy: I guess, I'll start with a Black Friday just from a calendar standpoint. Black Friday I think was a solid for us. We didn't see any last minute changes in some years past. We've seen some of our Black Friday plans impacted by deals that were cut at the last minute by competitors. We didn't see that this year. So our plans were pretty solid and kind of executed as our national accounts team had laid out, which was good to see. And then going into December a couple of things that we saw this year; we launched our retailer programs on November 26. Now we did the same thing last year we launched them at the very end of December or first week at the very end of November. And in years past, prior to last year, we had launched those typically in January. We announced them in December largely to give our retails a chance to book those orders in advance of the holiday season as well as get a jump on some of the new products that we've recently launched. So I would say December was okay, it wasn't we had a good fourth quarter as you saw. We did significantly better in terms of earnings. I think we're $0.69 versus $0.59 a year prior. And then in terms of sales, we were slightly ahead of sales from 2017. So we were pleased with how the quarter closed out.
Brian Rafn: Yes. Okay. You guys certainly highlight the new product development and given that the markets have come along way in sales and unit volume just through the Obama administration that. And so just maintaining, yes, I can remember when you guys a million units shipped to the market by a commercial firearms was a big deal now, your 1.6 coming off at 2.1. If you'll look at new product development, do you guys do any priority routing in new designs between something, it might be a breakthrough, new frame versus just the caliber iterations? Do you schedule it differently to try to make an impact or do you just let the product development rollout is it stage?
Christopher Killoy: Good question. We actually have a pretty deliberate process, when we approached the big new product introductions, the big launches they usually team - full team of engineers, supply chain folks, manufacturing engineers as well as design staff. And those typically have a team attached to them, working for a longer period of time. A lot of the derivatives that we talked about earlier are things that are frankly bills and material changes. We're changing camo pattern, maybe a caliber, maybe a stock or something like that. Those are fairly easy to do and so we have a separate group of folks that typically work on those. They're not always easy to build in the factory. We're very proud of the folks in our factories has done a great job responding to market demand for those we call special makeups or SMUs. And that really keeps things exciting for our distributors and our retailers as well as hopefully allows both of our distributor retail level and get a few extra points of margin, for something that's a little bit different, a little bit unique. That may be the other gun store down the down the road doesn't have. So those typically two separate efforts that we work on. The big new product platforms as we call them and the derivatives or special makeups.
Brian Rafn: Yes. When you look at your engineering teams, I just go by historically numbers yes, I think about 140 employees in that research group. When we kind of track maybe 85 or 90 or up 100 of these engineering guys? Are you doing any hiring in that area? You expanding it? Do you keeping it the same? You guys have kind of rolled off your part time help. And I'm just wondering if you're doing any adding to the engineering side and hiring headcount?
Christopher Killoy: We're actually always looking for good solid design engineers. We have a couple specific needs I think right now in the manufacturing engineering side, but right now we've got a pretty stable platform of folks at de all three facilities. One of the things with having the three facilities that provide some opportunities for us to work together, cross factory. We make extensive use of our talent regardless of where they are. So even though the pistol project, on the boards might be being planned to be built in Prescott, that doesn't mean we don't have folks in both Mayodan and Newport working under the design. So what we've gotten very flexible in a kind of working together and collaboratively working with some of the technology systems that are available to us to tie an engineers at all locations.
Brian Rafn: Yes. You talked a little bit in your opening comments about, you're starting to see more discounting in that. Are you seeing it for the levels that you saw in 2017 and I'm thinking of you saw some 30% off MSRP pushing 40%. Are you seen extreme discounting or are you just seeing kind of on a year-over-year that it's kind of reaccelerating?
Christopher Killoy: To be honest, nothing like we saw in some of those period during 2017, I think inventories are in a lot better shape. You saw - in our inventories down both at distributor and at Ruger for the finished goods inventory. And by and large it's a pretty balanced inventory. We don't see any big piles of inventory of things that people are trying to move out quickly. In terms of competitive inventory, obviously, we don't have a visibility of that, but we're not seeing the level of discounting and promotional activity that we saw in some periods of 2017.
Brian Rafn: Gotcha. You spoke a little bit too about some of with the political elections and that you may be a kind of a refocus on the democratic side for gun control issue state-by-state. If you'll look at your ending inventory, I think it's 80,300 with you and 2,299,700 in the wholesale. Would you say that those are denominated in models that might be of high traffic if something were to pivot on the political side?
Christopher Killoy: It's a combination actually. We have a limited number of SKUs we're really focused on. We think of the inventory that we desire to have on hand. Some of it is things that we know we've had seen a surge in demand on before. Some of it is really our bread and butter product, like the 10/22-RB, the model 1103, which is a staple at both independence and national accounts throughout the country. So it's a combination of our bread and butter SKUs and a few that we think may have some a surge capability down the road.
Brian Rafn: Okay. And then have you done inventory building on the new product development that is, obviously 30% of sales in 2018. Would that be a higher unit volume denominated in inventory?
Christopher Killoy: What we'll typically do is we'll ramp up as you would expect, when you launch a product, the demand is at its height and you're typically still ramping up to full production. So what we try to do is come up with a manageable number for that product launch, be it, if it's a niche product. It might be 1000 units. Other guns might be as much as 5,000 or 10,000 units to have that available at the time of launch. That's kind of an ideal state. That doesn't always happen. Sometimes the ramp goes slower than you'd like. But that's what we try to do is always have - we're laying at our product launch plans in addition to things like cost targets, gross margin targets. We also have launch quantity as one of the key metrics that we're trying to keep an eye on to make sure we can satisfy what we think will be that initial level of demand.
Brian Rafn: Gotcha, all right. Chris, can you talk a little bit about kind of post Short Show your observations. What would you say was kind of the sense of, is there guarded optimism? Is it pessimism? Certainly looking back over the 2012, 2013, 2014, 2015, you had the AR-10/15, Ron, you had these pocket or palm guns that have done so well. What was your takeaway kind of from your sense of conversations with retailers and maybe even competitors and those that were at the Short Show?
Christopher Killoy: I guess maybe you could sum it up as a guarded optimism, but I'd say there are some things that aren't necessarily in our categories. They're still concerned as for example, the ammunition categories one that we don't participate in, but there's a lot of discounting out there. There's a lot of, things that we don't necessarily participate in directly, but that impact us. We are saying, even in categories like the MSR, the Modern Sporting Rifle, we're seeing very good success on our end with the products like the 450 Bushmaster and the Optics-Ready AR-556, as well as we're still seeing solid support for our model 8500, our bread and butter gun made in North Carolina. But the niche products and the line extensions are really key to keeping volumes up and grabbing market share. So we continue to focus on that. We've got some exciting things in the works down the road. And I think from Ruger standpoint, we've got the - we know new products or what's going to keep margins up as well as keep the excitement at the distributor and dealer level. So that's really where our focus is.
Brian Rafn: Well, I'll just ask one more and get back in line. Did you repurpose any machinery or tooling in the fourth quarter and how much of that would you say 2018 was a fairly sizeable year for repurposing dueling?
Christopher Killoy: 2018 was probably a record for Ruger in terms of repurposing equipment, moving CNC machines both within a plant and from plant to plant. I was very pleased with how the operations folks did that. We kept - even though we have a sizable cash balance, they were very disciplined in terms of looking for existing equipment. And so we've got several lines for new products that are in the works where basically all of the CNC equipment has been repurposed from other lines. And then certainly we have new fixtures, tools and gauges, but the operations folks have done an outstanding job, moving that equipment both inside the building and then between plants were necessary to support new product launches and also line rebalancing, where we've got one line that maybe growing in one plant and shrinking in another.
Brian Rafn: Got you. I'll get back in line. Thanks.
Operator: Thank you. [Operator Instructions] And our next question will be from Brian Rafn with Morgan Dempsey. Your line is now open.
Brian Rafn: And it was a short line.
Christopher Killoy: That was a real short line Brian.
Brian Rafn: Yes, very short. Let me ask you, what do you guys - could you guys kind of a level loaded at a 1.6 million in production, you bought 400,000 a quarter. What do you guys right now running kind of labor shifts over time at Newport, Prescott, Arizona and Mayodan? What's your - kind of what's your labor shift look like?
Christopher Killoy: Brian, it's tough to project, but really it depends on the product line. Most of our lines typically, we size the line for two shifts so we can balance that. There are certain operations that run three shifts. But usually that's not the norm. Two shifts is probably the norm and that's not all lines. We've got a couple of niche lines that are one shift only, but realistically we try to - on a new product line, we try to size it in terms of what's our max capacity for one shift, what's our max capacity for second shift. And that's part of our thinking. When we do our planning, every two weeks our SIOP planning, sales, inventory, operations planning, we typically think about guns that are needed per day. So we think about a SIOP operate of guns per day that we're building, with the 90-day projection that we're planning, where we're forecasting on seeing down the road and also a max capacity number. So if we've got a line that's at 500 a day and we see the max capacity is 600, we would have the operations folks say, go ahead and free up machines beyond that 600 unit capacity. So we're constantly looking at that, not only in terms of what we're building, but what we're planning for and how we size the factories and size of different product lines.
Brian Rafn: Gotcha. As we've kind of come down from the peak, I think you guys have $2.1 million one-year in units. It gives you a little more freedom to look at Six Sigma and efficiencies, certainly new product development, as we've kind of gotten away from the peak cycle, what are some of the things that you guys might be doing on an operations basis, while you're not running at DEFCON 1 where you're going full out?
Christopher Killoy: Well, I would tell you, at the factory level, they're still running pretty hard. I mean, some of those - the levels - our headcount levels have come down in some areas, so the factory folks are doing an outstanding job, satisfying demand. But I would tell you, one of the key things about our lean business operations is the amount of daily kaizen to go on. And the daily kaizen, I mean, I get copied on every single one and it's so impressive looking at where folks are coming up with sometimes it's a big time cost savings and efficiencies. Other times it's making the workplace just a safer and better place to work at and other times it's ergonomic factors, but the daily kaizen events that go on and initiatives are really key to that continuous improvement that we're hoping for and that we're striving for a roof and they do the folks do a great job in all areas of Ruger. When we look at that daily kaizen initiative, as well as our big kaizen events, we'll schedule a week at a time maybe to do a deep dive on one particular line or one particular operation.
Brian Rafn: Got you. And then a couple of legacy, the mini foundries up at Newport. Yes, I think you are running to and what's kind of the status of the old legacy, the integrated furnace the foundry?
Christopher Killoy: The two rollover furnaces are many foundries are running extremely well. Not planning to add a third one at this point in time. We could but we're not planning to add that the two is sufficient for our current needs. And we still have a few aspects of the legacy foundry in operation primarily demand is the revert or the trees that are used when you think about how you forecasting, you might have 10 pieces that come of one tree. Some of the remnants of that process we use in the legacy foundry. And there are a handful of parts that are still over there, but that's really it. So the small percentage of our business still through the legacy foundry, everything else is through the too mini founders.
Brian Rafn: The mini foundries, yes, is there just before is there any thought to putting the rollover mini foundry Prescott or one down in…
Christopher Killoy: We've looked at it. Right now we're satisfied with how we've got it balanced with demand. We've got a couple of our operations that are vertically integrated and in addition to our investment casting foundation - foundry in Newport, New Hampshire. We also have rules for precision metals out of East St. Louis and in Missouri and or excuse me, Earth City, Missouri. And they've done an outstanding job for us as well, making the metal injection molding parts. So those are two areas in addition to things like our own integrated woodshop that right now that seems to make sense to leave them where they are, we have the opportunity down the road to move those elements into one of the factories. But at least for the time being, we're going to leave them where they are.
Brian Rafn: Gotcha. Your offerings from the Ruger Custom Shop, the Doug Koenig 1911 and then you have 1022? Is that a marketing strategy to create maybe a different here from just the production guns versus something that might be Les Baer or Wilson Combat and kind of what are your thoughts there on that Ruger custom shop? How you're going to build out these selective launches, Chris, or is there going to be five years out of 3, 4 gun line coming out of the Ruger custom shop?
Christopher Killoy: Well, it's right now it is pretty selective. Yes. We started with 1911 and 1911, of course is a crowded field, especially at the high-end custom market. You mentioned a couple of great pistol makers out there. And so that's tough competition. But we've been very pleased with working with Doug Koenig, who's captain of our professional shooting team. And so at the same time standing up our approach shooting team as well as doing more on the custom gun line between 1911. Now that got 10/22, and of course the 10/22 is like the small block Chevy. It's been customized by everyone over the years, and really a great platform. So we wanted to make sure that we were leading the way and some of those custom gun initiatives. We've got some other great platforms that you'll be seeing from us in the not too distant future. That are I think it will be great custom shop offerings. We want to make sure we do it right. So it's not something we're trying to flood the market with a lot of SKUs right now. We're trying to do it slow and make sure if we launch a custom shop model that it's really good to value that needs to have to represent not only the Ruger brand, but that extra level that I think our customers are going to expect over the years from the custom shop.
Brian Rafn: Yes, okay. I just skip with appreciate the comment. On the police and the military side, any increasing demand, Precision Rifle of the SR-765. What that's never been a huge part of your business portfolio, but audience kind of a leading edge, high-end relative to performance and that what's kind of your - for 2018 say on the police and military side?
Christopher Killoy: Well, even though we don't participate in a big way in the duty weapon category. We've seen very strong demand on the Precision Rifle products, as well as some demand for the - actually the Pistol Caliber Carbine and then in the law enforcement backup and off duty weapon, we do extremely well. A lot of these are sold through the traditional law enforcement channels. And oftentimes times depending on departmental procedures and policies. Don't go through a centralized purchasing department. They may be an authorized duty list. So we work very hard to make sure your products like the LCP, the LCR, the EC9s, guns like that that are ideal backup and off duty guns for a law enforcement professionals are included in those rosters. So that's a - we've done very well with that over time.
Brian Rafn: Gotcha. You guys have talked about special makeups or whatever, has that increasingly - and I think you've got some 800 variants, you talked about its 380 or 400 catalog listings. As we go forward in this, more of a normalized gun market, are the dealer specials and maybe like the package guns, does that become more and more important?
Christopher Killoy: Absolutely. We've even done some special makeups down for individual retailers, some of the bigger independence and certainly some of the national chains have their own special makeups that they like to work with. And that's been a key strength of Ruger. I mean, flexibility we have now, be it products like Cerakote, the camouflage dipping process as well as our ability to make infinite number of barrel combination, stock combinations. That's really been a key factor in our success and I see that increasing. Certainly this year, I think that'll be a key factor as we go forward in the near future and that - again, very pleased with how that's gone. Folks on the operations side have done a great job, supporting the sales staff for those special makeups.
Brian Rafn: Yes. A little bit to turn on the commodity feedstock side, any raw materials issue in commodity inflation as steel alloys, woods, waxes, resins, green sand, is there anything you're seeing on kind of a cost of goods sold basis?
Christopher Killoy: The only thing as it relates to steel, which you imagine Brian is, we've not been impacted directly by the field tariffs that are in place, because we are already sourced the vast majority of our raw materials domestically. However, the tariffs have impacted us indirectly. In the case of steel, we've been sourcing our steel domestically for decades. The tariffs have made domestic steel more attractive. So demand has risen tremendously as manufacturers who had been getting their steel from offshore sources look to find domestic sources. So we've seen price increases and some shortages of raw materials. Our purchasing folks are doing a great job, working closely with our suppliers to ensure we have a good supply of inventory to support production needs. And we all believe production will be impacted, but it's a tighter inventory situation that we've seen in the past and certainly that we'd like to see.
Operator: Thank you. I would now like to turn the call back over to Chris Killoy for any closing remarks.
Christopher Killoy: In closing, I would like to thank you all for your continued interest in Ruger. I encourage all of you to read the report we prepared in response to last year's shareholder proposal, which was filed with the SEC in a Form 8-K on February 8, 2019. It's also available on our website in the Investor Relations section. And finally, I would like to thank our loyal customers and the 1,800 hardworking members of the Ruger team who design and manufacturer our rugged, reliable firearms every day in our American factories. I look forward to seeing many of you at our 2019 Annual Meeting on Wednesday, May 8 in New London, New Hampshire.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. And you may all disconnect. Everyone, have a great day.